Operator: Good afternoon, everyone. Thank you for standing by and welcome to Cresud's First Quarter 2020 Results Conference Call. Today's live webcast, both audio and slide show, may be accessed through the Company's Investor Relations website at www.www.cresud.com.ar, by clicking on the banner Webcast/Link. The following presentation and the earnings release issued yesterday are also available for download on the Company's website.After management's remarks there will be a question-and-answer session for Analysts and Investors. [Operator Instructions] Before we begin, I would like to remind you that this call is being recorded and that the information discussed today may include forward-looking statements regarding the Company's financial and operating performance. All projections are subject to risks and uncertainties and actual results may differ materially. Please refer to the detailed note in the company's earnings release regarding the forward-looking statements.I will now turn the call over to Mr. Alejandro Elsztain, CEO. Please go ahead.
Alejandro Elsztain: Good morning, everybody.We are beginning our first quarter 2020 fiscal year, and we can begin in Page 2. We can see that we are achieving a gain of ARS6.8 billion and adjusted EBITDA that is at 7.6% better than last year numbers. When we divide between Agribusiness and urban and Israel, we have a 20%/80% breakdown. When we divide between Argentina, urban and agriculture, we have almost half and half.We are achieving a gain of ARS6.9 billion net gain compared to last year, that was ARS5.4 billion gain for the first quarter. Attributable to the Cresud shareholders, we have a loss of ARS2.3 billion, a gain of ARS0.9 billion last year.The main explanation of the biggest result of the quarter, it is the deconsolidation of Gav-Yam in Israel that Matías later will explain a little.Related to agriculture forecast for next year, we are recording again and increase from last year that was with our record inside of plantation. This year we are increasing more, like 10% more, we are planting 268,000 hectares between the four countries and we are developing 7.4 thousand hectares between the countries. And from the other side, we begun the real estate in the first quarter through sales in Brasilagro that we are going to explain later.Related to a plan of repurchase shares, we launched a new one in August for ARS300 million, up to now we didn't buy from that repurchase plan. And few days ago we had an assembly, and in the assembly, we had approved a distribution of shares. We are distributing to shareholders what we bought last year, that was a 2.6% of the capital stock that is going to be delivered to the shareholders in November 14 of this year.From other side, we are collecting dividends from Brasilagro. Cresud is receiving soon, $5 million, because of the approval of Brasilagro. And IRSA approved dividend in kind for IRSA shares, we are receiving a 1.2% of IRSA's commercial properties, almost $5.5 million through shares.If we move to next page, to Page 3, we can see the evolution of planted area. Now we are talking about the 268,000 hectares. The 14,000 in orange are hectares that we are not planting from our stock, that we are giving to third-party to plant in our farms, and the rest we are planting.And so we are growing again year-to-year, passing again to a record year of planting between the countries, having own land and lease land in each of the countries, mainly, not in [union], because we are not doing that in Bolivia not in Paraguay. We are doing that just in Brazil and in Argentina. And also, we see how big are the two; Argentina 140,000 hectares and Brazil 104,000 hectares. The rest is between Bolivia and Paraguay and the leasing of our farms.Related to the farm sales, we can see that up to the first quarter we just showed only one, that is the Jatobá small sale of a farm. This is 1,000 hectares. Remember that Jatobá was a lot of thousand hectares, but we sold a small piece again. From those 1,100 hectares, 900 are productive and we are selling at levels of 300 bags per hectare and it's a nominal sale of ARS22 million price, that gives us an internal rate of return of 14% or 15% in reals or 7% in dollars because of the evaluation in Brazil.Later, after the 30 September, we had the recent sale, smaller. It's a 65 productive area, but in here we are selling at 1,100 bags per hectare. This is in Alto Taquarí, in an area that we bought like 3.6 thousand hectares. So selling small, very small, we are having huge gains that are going to be reflected in the second quarter of 2020. So, every year, every country intends to sell. And the first quarter up to now, there are two - the first two quarters, there are two in brazil.We go to Page 5, and we are going to introduce Mr. Carlos Blousson, please Carlos?
Carlos Blousson: Thanks, Alejandro, and good morning, everybody.Well, let's go to Page 5. Farming: commodity prices and global stocks. We can see the graph that there was a price - the soybean price increase of 4% due to different factors. One factor is because the harvest in the United States is delayed due to the planting was delayed. The yield forecasts are not encouraging.Normally, under different circumstances, prices should go up even more, but it's not so because of the ongoing commercial war between United States and China. The other factor is, we see that the soybean price will be defined from now by the end of the United States current campaign.The soybean stock consumption ratio, that will reduce in the United States by 10% and the evolution of the swine fever in China related to the demand. And the last fall, the planting in South America in this period.Well, if you see the corn price, the prices are maintained low due to the big offer of corn that happened in South America, despite the low production in the United States. And repeat to the soybean harvest, corn harvest are also delayed.We need to analyze the FOB price, soybean FOB price in United States versus Argentina that will be typically related to the commercial war China and United States. The regional hedge, the current regional hedge level is 40% in soybean. And in the budget price, in case of corn, the regional level is 45%, 41% remain, a 6% over the budget.Let's go to the next page. The good prospects for farming activity in fiscal year 2020. As you can see on the left of the slide, the evolution of the weather in South America is normal. Light rain to continue at the same pace for the next 60-days, so we can keep up with the planting.The other point is the competitive exchange rates in Argentina and Brazil. The evaluation rate has been increasing in the last three months, we can see 8% in Brazil and 36% in Argentina.Here are the regional planting progress. It's attributable to the original soybean planting is of 24% which usual of these times of the year. If we pay attention to each country, the development between the positive margin in all case. In relation to corn, the regional corn planting is of 40%, everything's happening as expected.Lastly, the case of wheat, we only produce wheat in Argentina and we have started the harvest. Prospects were very encouraging.Let's go to the Slide Number 7. Investment in Agrofy. Agrofy, our e-commerce agrobusiness company, which is a pioneer in the sectors, made a capital increase of $12.9 million in October 2019.From wheat, Cresud subscribed $2 million and Brasilagro $1 million. Today, the Company's net worth is of $42.9 million and Cresud owns the 27.4% and Brasilagro 2.3%. We can see on the right of the slide, the developed plan at Agrofy intends to implement in the Latin America in the next three years. We plan to start operating in nine different countries, from Argentina to Mexico.Below of the slide, you can see the same, as you can see same indicator that show that Agrofy is growing in the last year.Matías, continue with the presentation. Alejandro will continue with the presentation.
Alejandro Elsztain: If you go to Page 8, we can see the main events of the urban from Argentina. And here we can see that the shopping malls had a small drop adjusted by inflation of 14.5% because of the reduction in consumption in Argentina. But the recovery in the last quarter will come from months of almost 15% drop and now the last quarter is a 5% drop. We are seeing a lot of improvement on the consumption in Argentina.From other side, the office building is 62% higher to last year. This is a combination of more square meters, because of the introduction of the Zetta, plus the dollar denominated business of the office building. So the combination made a much higher adjusted EBITDA in office.And in hotels, there's a more drop. This year we had - last year, we had to receive a payment of insurance that we are not this year. And this is the main effect of the difference. So finally, the Argentine business center is a lower level - did lower levels than last year adjusted by inflation combined the three aspect that we spoke before.If we move to Page 9, we can see the relation in Israel, what is happening, the main issues of the quarter for Israel. And here the nomination of the new CEO, Eran Saar to be the CEO of IDB & DIC, that is an Israeli with a lot of experience in holdings. We were selling more CLAL shares, today we are running 30% of CLAL through swaps and through direct stake.We were solving a part of the concentration of those situations through selling shares of Gav-Yam and the consolidation that we spoke at the beginning. The deconsolidation of that in our balance sheet made us this ARS15 billion gain in the year's balance sheet. And now we run little less than 35% of the shares.The privatization of ISPRO public debt; now we need to solve the last one that is a Mehadrin, that we run 45% and we are discussing what to do to not to have that third layer of companies in Israel. But it's going to be done very soon before December.If we move to next page, we are going to begin to explain about the financial statement that is Matías Gaivironsky, the one who is going to do it.
Matías Gaivironsky: Thank you, Alejandro. Good morning everybody.So if we move to Page 11, we can see the breakdown of our financial statement. We finished the quarter with a net income of ARS600 million and ARS942 million against ARS5.4 billion of the last year.The part attributable to our controlling shareholders is a negative income of ARS2.3 billion against ARS900 million positive of the previous year. When we analyze the main impacts on these results, the first one is related to the Line 16 that is the net income from discontinuing operations.This is related to the consolidation of Gav-Yam. According to the accounting rule, when they consolidate, you have to value your stake under fair value and since that point we will start to recognize results under the equity method. So that result is a one-shot effect that generated a gain of ARS15.1 billion that is recorded in this year.The other important effect is in the Line 13 net financial results that I will answer in more details in the next slide. And the other one is related to the Line 6, that is the change in fair value and mainly in the Argentinian business segment.In Israel this quarter, we don't have results that came from this line. It's only in Argentina that is related to the shopping and offices and land reserves of IRSA that last year generated a gain of ARS9.9 billion and this year the gain was ARS8.8 billion.The other important thing is related to the Line 11, the operating income that you can see that in each of the business segment was positive. In the Agribusiness 4% against last year, in Argentina business segment, 10.7% below last year and in Israel, 32% above last year.If we move to the next page in Page 12, we can see this in better detail and we can see - by segment in the Agribusiness the first line is related to the farmland sales this is related to the farms that last year we sold much more in Brazil, then in this quarter. In the farming, we see also positive results 26.3% above last year. The Grain segment that this is not the most relevant quarter because we started the planting season, so the results which came in the following quarters but the drop here is related to the production.In the sugarcane we have better results mainly in Brazil and mainly because of higher yields in the sugarcane of Brazil and compensated with lower results in Bolivia. But we see here a very good result 36.8% above the previous year. The cattle we see a decrease in the loss from ARS124 million to ARS35 million related to the holding prices of the head of cattle this year that compensated inflation I mean the previous year, haven't.And finally in the Line 7, the other segment that include our meat packing activity FyO, the results from FyO, we see a drop that is mainly related to the lower volume in some of the segments of FyO and better results from the meat packing facility. Regarding the urban segment, Alejandro already commented about the results that we can see here, better in offices and lower results in malls and hotels.And finally in the urban Israel in the Israeli business center, we have better results in real estate remember that here the information is in pesos so the revaluation between the shekel and the pesos was 20% so above 20% are good results. We see this in real estate, 23.9% above, in telecommunications much higher this is related to the implementation of IFRS 16. Now all the leases of equipment and facilities of Cellcom is included in the amortization line so in the EBITDA when we exclude the amortization, makes that we generate a big jump in the results.So finally in Page 13, we can see the breakdown of the net financial results. We see that in Cresud plus Brasilagro in the left part of the table we have lower losses it is related to the reevaluation, the reevaluation last year was higher than this year, last year was 43% this year, 36% in the interest line we have higher interest payment because of the increase in the cost of the debt of Cresud.In IRSA, we have the same effect that the evaluation last year was higher than this year and in IDB the important part is in the Line 4 that we see last year a gain of ARS7.4 billion that is related to Clal we value Clal at market value. So last year, the increase in the price was 34% this year we have a decrease of 14% and that generates the difference in that line.As we move to Page 14, we see here the breakdown of our debt and the amortization schedule, during the quarter we issued a new note for almost $60 million at 9% interest rate that expire in July 2021. So we will keep working in this year to refinance the amortizations that we have during the year that are basically bank debt not capital market. So with this, we finish the formal presentation.Now we open the line to receive your questions.
Operator: [Operator Instructions] The first question today comes from John Durso of Kahuna Capital. Please go ahead.
John Durso: I was wondering if you could provide some additional detail or insight on how you're thinking about capital allocation at this point given the events in Argentina your debt profile and your current share price? Thank you.
Alejandro Elsztain: Thank you for your question, so if you see what we did in the last years in Argentina and mainly, it was related to our urban part that we decided to accelerate our CapEx and development. So we launched two office buildings and some expansions in the shopping malls and that was because Argentina was in much better shape than what is today on the financial side.So, of course what, we will consider going forward will be the situation of Argentina and if the return over each of the investment will make sense or not. Probably what you see, what we did in Cresud during the last years, we have been purchasing our own shares, sometimes that is more profitable to invest in a new project. So we will see according to our liquidity and the opportunities that appear what will be our capital allocation but definitely under this scenario, we will be more conservative.
Operator: The next question comes from Wes Golby of Seven Canyons. Please go ahead.
Wesley Golby: A couple of questions, the first is just your outlook for shopping malls in Argentina, what's the mix of inflation and tenancy trends and what do you expect for the next quarter and into the year?
Alejandro Elsztain: We are waiting for the new government to come you know that the election finished, a few days ago and in 10th of December we will see a new President but we expect to be very proactive to consumption and local production. I think in the past, the Peronist party was always in favor of that. So - and we are beginning to see some of that when we begin to see the situation of consumption of the last month began to consume more.We expect that they are going to launch plans probably related to decrease the inflation. I don't know what kind of plans but for sure they're going to attend that and in the past, they came it is not easy to compare every time in Argentina is different. The last time of their government the consumption on the shopping centers was very, very good. So today the situation in the shopping centers it's a drop comparing to the dollars of the last year, but not so big.And we are seeing some signs of recovery on consumption and for sure they're going to work on decreasing the interest rate and inflation not sure how. They didn't decide what is the cabinet they are going to form but this is going to be very soon meantime, we have a good occupation in the shopping very good days on the street. We are really collecting very well for the tenants it's not expensive to be paying us because today in dollars is cheap the rent. So we are very optimistic from the bottom - we are in the shopping center.
Wesley Golby: Great, thank you that's helpful and then my second question is around the debt profile at Cresud level. You have maturities coming up over the next two years and how will you approach this and the other thing is, the split of course of working capital related to the Agribusiness versus kind of more traditional debt or leverage of the underlying property. Could you help me understand a bit the debt profile of the company, because it has increased quite substantially in the last two years?
Alejandro Elsztain: So if we do the breakdown between what is working capital and what we call the long-term debt. You see that most of the bank debt is related to the working capital, up to now there was the most efficient credit line because the cost was cheap and is related to our production. We can access to that credit lines because we sell our products to exporters so the banks are only allowed to lend money to exporters or exported related.So for that reason, we have been using that credit lines as most efficient was in the short run, but the cost was cheaper. The long run we tried to always financing with the capital market and is what we did in July, when the market was still open, we issued $60 million to refinance debt. So we will keep working in that direction we will - it's too soon to see what will happen in Argentina during the next year.But at least, my guess is that we will have some capital market, some local capital market at least there will be and if the capital controls continuing will be a lot of pesos in the country that probably will be - also an opportunity to finance part with that or doing some dollar linked like what we did during the previous year. Also something to comment here is that our shareholders meeting during the last 15-days ago approve a capital increase in the way of playing capital increase or convertible bonds for up to approximately $100 million that also is an alternative.So we will keep working in all directions like what we did in the last 25 years of history of the company.
Operator: [Operator Instructions]
Alejandro Elsztain: Just a remark something that I didn't mentioned before and I think it's a very good note for the company. We were trying for many years to find the permit to export to China. And finally we - this week we're approved the beginning of exports to China. We open the American market to the Israeli market to all over the world market. The last one is China, and China really in our packing plant, it's a relevant issue now the numbers they were positive, but with this new, are going to be much more positive because of prices of China for the beef.So this is a very good relevant story for the year plus the big plantation area that we are doing all over the region, plus the real estate that we're going to keep selling farms at very low cap rate to buy and develop again.With that, we finish our first quarter, we see you soon in the second. Thank you very much and have a very good day. Bye.
Operator: Thank you. This does conclude today's presentation. You may now disconnect your line at this time and have a nice day.